Operator: Good afternoon. My name is Laurel and I will be your conference operator today. At this time, I would like to welcome everyone to the DISH Network Corporation's Fourth Quarter and Year End 2015 Earnings Conference Call. I'll now turn the call over to Jason Kiser. Please go ahead.
Jason Kiser - Treasurer: Thanks, Laurel. Thanks for joining us, everybody. I'm Jason Kiser, Treasurer here at DISH Network. Joined today by Charlie Ergen, our Chairman and CEO; Tom Cullen, EVP of Corporate Development; Roger Lynch, CEO of Sling TV; Erik Carlson, new President of DISH Network; we've got Bernie Han, Executive Vice President; and Steve Swain, our CFO; Paul Orban, our Controller; and Stanton Dodge, our General Counsel. Before we open it up for Q&A, we do need to do our Safe Harbor disclosures. So I'll turn that over to Stanton, and I think Steve's got a couple of things that he wants to cover as well before we open up for Q&A.
R. Stanton Dodge - Secretary, Executive VP & General Counsel: Thanks, Jason, and good morning, everyone, and thank you for joining us. We ask that media representatives not identify participants or their firms in your reports, and we also do not allow audio taping and ask that you respect that. All statements we make during this call are not statements of historically fact and constitute forward-looking statements, which involve known and unknown risks, uncertainties and other factors that could cause our actual results to be materially different from historical results and from any future results expressed or implied by such forward-looking statements. For a list of those factors, please refer to the front of our 10-K. All cautionary statements that we make during this call should be understood as being applicable to any forward-looking statements that we make wherever they appear. You should carefully consider the risks described in our reports, and should not place undue reliance on any forward-looking statements, which we assume no responsibility for updating. Also as part of the process for the Broadcast Incentive Auction, we filed an application to potentially participate as a bidder for those spectrum assets. Because of the FCC's anti-collusion rules, we are not able to discuss what, if any spectrum resources we may intend to bid on. Operator, with that, I will now turn it over to Steve Swain.
Steven E. Swain - Chief Financial Officer & Senior Vice President: All right. Thanks, Stanton. Before going into Q&A, I would like to make a few brief comments about 2015. So looking at the income statement, our 2015 operating income was $1.3 billion, a decrease of $492 million year-over-year primarily due to a couple of one-time items. First item, we recorded an FCC auction expense of $516 million. This expense was discussed on last quarter's call. The second item is an impairment of $123 million. It was determined that the carrying value of our D1 satellite and its associated ground equipment was greater than the fair value. These assets were originally acquired in our DBSD transaction. Moving to other income and expense. In 2015, although cash paid for interest increased $21 million to $854 million, interest expense on the P&L decreased $117 million compared to 2014, primarily related to the increase in capitalized interest. The increase in capitalized interest was primarily driven by the AWS-3 licenses which were granted in the fourth quarter and have a carrying value of approximately $10 billion. This stepped up interest capitalization will continue. Meaning, because the total spectrum carrying value is approximately $15 billion, effectively, all of our interest expense will be capitalized off of the income statement in 2016. For presentation purposes, also note that capitalized interest associated with spectrum was separated from PP&E creating a new line on the cash flow statement. So to maintain prior period comparability when calculating free cash flow, we take operating cash flow and subtract out both PP&E and this new line which is named capitalized interest related to FCC authorizations. Looking at other income, in 2015 other income increased $347 million to $278 million. 2015 was positively impacted primarily by net realized and unrealized gains on investments. In contrast, 2014 was negatively impacted primarily by unrealized losses on investments. Next is free cash flow, which for the full year 2015 was approximately $1.3 billion. The year-over-year increase in cash flow was $129 million, primarily driven by lower CapEx, excluding the impact of capitalized interest, lower cash taxes and by a source of cash from working capital, partially offset by the FCC auction expense and decreased cash interest income. Working capital as a source of cash in 2015 came from both assets and liabilities. On the asset side of the balance sheet, underlying operational changes drove much of the decreases in accounts receivable and inventory balances. On the liability side, the changes in balances were within historical fluctuations and may reverse or partially reverse in 2016. Lastly, taxes. As shown in note four of our 10-K, in 2015 we paid $16 million in cash for income taxes. Cash paid for taxes was reduced by, among other things, the amortization of our licenses and the AWS-3 licenses. Spectrum amortization for tax purposes is over 15 years, and of course, for GAAP, spectrum is not amortized but instead tested for impairment annually. One other note on taxes. Although we capitalized a significant portion of interest off the income statement, in 2015 cash paid, whether it is expensed, cash interest paid, whether it is expensed or capitalized is deductible for tax purposes. Now, we'll open up the call for Q&A. Operator?
Operator: Thank you. Your first question comes from the line of Craig Moffett with MoffettNathanson. Your line is open.
Craig Eder Moffett - MoffettNathanson LLC: Good morning. I know you guys can't talk specifically about your auction plans, but I wonder if you could talk about how you would finance your spending for the auction, if any? And then, as always, we're all interested in hearing what the latest observations are about how you might deploy the spectrum you already have? In particular, I'm thinking about fixed wireless broadband versus mobility. Has your thinking evolved at all given how much talk there has been about fixed wireless broadband over the last couple of months?
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: This is Charlie. Craig, you're right. We really can't talk about how – what we might – and I think we've taken a broad view of the anti-collusion rules just to be in abundance of caution. So, talking about anything about strategy in terms of even including financing probably is off the table for us for a while. In terms of spectrum, obviously we've talked in the past about a lot of optionality. The thing that's particularly nice about the mid-band spectrum that is predominantly what we have, it's probably the most versatile of the spectrum that's out there, in the sense that it can be used for small cells with acceptable interference and also can be used in macro cells. So for coverage, so it can actually be used – it's one of the – there's not a lot of frequency out there that's kind of in the sweet spot for coverage and capacity. So when you talk about fixed broadband, to the extent you haven't already seen, you're certainly going to see over the coming years a lot about 28-gig and 38-gig and 60-gig and things like that. Those frequencies obviously will play a significant role long-term in wireless and broadband, but they're uniquely challenged really for, they are not really – really can't do anything more than very small cells or in some cases, backhaul and line of sight, and that makes a lot of sense potentially in fixed wireless. So, all I can really say is we're kind of – what we have is really the most versatile of the, it's more of a Swiss Army knife type spectrum in terms of a wide variety of uses that it could do. And then I think as other things develop, there is a lot of developments going on; 5G obviously, it changes some of the dynamics and certainly in terms of Internet of Things and speeds and so forth. There's unlicensed spectrum both in 3.5 and 5. There's a 28-gig, 38-gig, 60-gig frequencies. So you have to look at the systems design and, I believe that each piece of spectrum has unique attributes and probably will be used as a result of that for its best economic use. But the frequency that we have, the vast majority of the frequency we have has multiple applications. So it can be used for fixed wireless as well, but I'm not sure that's the best use of it.
Craig Eder Moffett - MoffettNathanson LLC: Thanks. That's helpful. And if I could press for one additional question just with the FCC just having voted on the set top box rules. Could you just offer some commentary on the set top box rules as you see them?
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: I'll let Stanton maybe start with that.
R. Stanton Dodge - Secretary, Executive VP & General Counsel: Sure. And Craig, this is Stanton, Craig. Now, as you know, they just voted to approve the NPRM today, we haven't actually seen the actual words of it. So, of course, we'll have to read that and reflect upon it. But generally speaking, it's our view that the video industry, as everyone is well aware, is currently undergoing a true wave of innovation and experimentation as evidenced by the success of OTT services like our very own Sling TV, and the proliferation of devices on which consumers consume video, such as tablets, mobile phones, Roku, Apple, et cetera. So as we sit here today consumers have unprecedented choices in the terms of video apps and services available to them. So as we sit here today it's really not clear to us that any new regulation is needed to encourage innovation, in fact, it would actually hinder it.
Craig Eder Moffett - MoffettNathanson LLC: Thank you.
R. Stanton Dodge - Secretary, Executive VP & General Counsel: But we'll have to see in terms of the actual rules – proposed rules.
Craig Eder Moffett - MoffettNathanson LLC: Thanks, Stan.
Operator: Your next question comes from the line of Phil Cusick with JPMorgan. Please go ahead.
Philip A. Cusick - JPMorgan Securities LLC: Hi, guys. Thanks. I wonder if we could start with the DBS business? Can you update us, Charlie, on how you think of the strategy for this business? It seems like churn is doing well, but gross adds continue low. Should we expect you to continue to be fairly subdued in competing here? And do you expect to tighten credit more as you go forward, or should we think that gross adds have sort of stabilized at this level? Thanks.
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: Yeah, I mean, I think at least since I've come back as CEO, we've taken a really hard look at the DBS business and said, if we're going to put on customers, we want to put on customers that we think will be long-term profitable. So we're taking a pretty long view of it. And just as kind of a backdrop of that, five or six years ago, we put a customer on DBS, we had a cable company as a competitor and DIRECTV as a competitor. Today, you've got a phone company, you've got the cable company, you've got AT&T DIRECTV, and then you've got a proliferation of OTT companies with more to come. So the likelihood that you're going to keep customers in certain locations as long as you did in the past to me is – there's more risk that you keep them less time, right? And at the same time, the industry has gone to $19.99 and a year or two years of free programming, and so SAC has gone up when you count in all the freebies and the gift card and all kinds of stuff you do. So in the backdrop of that, I think we've been more conservative probably in the last year perhaps than others because we think that we want to make sure we get a return on the customer. So that has led to looking at higher credit scores, which is probably the best correlation of a long-term profit subscriber. Certainly, a concentration more on rural America where there's more limited options. And so we just looked at it. If it was your money which, you know, if it was your money would you invest in that customer, and if the answer is yes, we invest in the customer. If the answer is no, probably not. And I think we probably made some mistakes the last several years in the past and we're probably done very similar things to other people in the industry and got subs and didn't think it would be long-term and really take into consideration the changing dynamics that are out there. But on the same token, Roger and his team at Sling TV have said that in going to OTT, you're able to get a different class of customer, a customer who's not in the Pay-TV universe today or maybe was in the Pay-TV universe and left the Pay-TV universe in part because the costs were so high or they were paying for channels they don't watch, and the SAC is relatively low there. The churn obviously is higher, but they tend to come back over a period of time. They kind of go in-and-out, in-and-out. So the economics of those customers are interesting to us because we think there's a bit of a wider field to play there long-term for proper customers. So it's not that we're giving up on linear satellite customers, it's still a great business. It still throws off a lot of cash and there's long-term customers that just aren't going to go anywhere given where they live, and there's a lot of synergy with how we do satellite broadband for those customers. But I think that we've taken a long-term view of it and spend money like a shareholder I think would want us to spend the money and invest in – at least at the time we invest in a customer, it's our belief that we have a high likelihood that will be a positive net present value customer, and as a result of that, we're more conservative on the DBS side. And so that is a – that in my opinion is mature to declining business nationwide and certainly a declining business at least in the short-term for us.
Philip A. Cusick - JPMorgan Securities LLC: Is there a point where you see the churn and gross add dynamics stabilizing the business, or should we look at this being sort of declining business for the next medium-term three years to five years?
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: Well, I think that – I think there's two things. One is we may have a little – we probably had a little excess churn. Churn is what happens from what you did last year, not what you did today, right? So we probably had a little excess churn just based on some takedowns of programming and also maybe in my opinion maybe not the wisest decisions, a $19.99, $29.99 you're just not going to get an economical customer at those levels. So that will run through the company. A lot of it has. Some will finish up in this year, and then I think we're more disciplined about how we go about it. And so in that sense we could see some improvement. But there's not that many new household formations where satellite and cable are the right product for them. If they have OTT options and they are younger they're just going to go to Netflix and Hulu and Amazon and hopefully people like Sling TV and others.
Philip A. Cusick - JPMorgan Securities LLC: Thanks, Charlie.
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: The other piece that we have is – the other dynamic for us that's probably a bit more unique to DISH is that people do bundle, and they look for broadband in many cases first before they look for video. And so we're disadvantaged there vis-à-vis the cable industry. So that's why I think you've seen a better cable performance, for two reasons. One is they have some advantages in bundling, and the second thing is that they are downgrading people to lower tiers or maybe just the local channels in HBO for $15 and things like that. Those still count as a subscriber for them, and so they are less profitable customers, and less ARPU customers, but they still count as a subscriber. We're not as focused on the number of subscribers we have, we're a bit more focused on the actual profitability of the subscribers. So that's just how we look at it and as a result of that, we're a very good cash flow business, it's going to continue, and we have a growth opportunity. We have a significant growth opportunity, in my opinion, on the OTT side that we should grow. Our goal is certainly between what Roger is doing at Sling and we're doing at DISH, we expect to grow as a company. We certainly hope to grow as a company on the video side and that's external to our wireless assets.
Philip A. Cusick - JPMorgan Securities LLC: Okay. Thank you.
Operator: Your next question comes from the line of Brett Feldman with Goldman Sachs. Your line is open.
Brett Joseph Feldman - Goldman Sachs & Co.: Thanks. Maybe just extending this discussion, when we look at your Pay-TV stack it's been coming down and obviously that's partially reflected by the mix of Sling, but I was hoping maybe you could just provide a little color. What is the underlying acquisition cost structure of the satellite TV business? Is that actually becoming more efficient as you're more focused on customer profitability? And then just thinking a bit more about Sling. The product has been in the market for a year now. Anything you can do to give us some sense as to the size and the gross trajectory of that business or just key learnings in the last year, it would be really value added. Thank you.
R. Stanton Dodge - Secretary, Executive VP & General Counsel: Go ahead.
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: I'll try to answer, and then I'll turn it over to Roger on some of the Sling stuff. There hasn't been a material change in terms of the subscriber acquisition cost in the satellite TV industry. In fact, it may be in some cases, some of the promotions out there, not DISH, but others the cost may actually be going up because hardware is still expensive and there is still quite a bit of discounting going on. One thing we have done is we've moved pretty dramatically from starting people at $19 or $29 or $39, and most of our customers are coming in well north of $60. So that they're not getting hit with these big increases in the second and third year, and it's borderline dishonest to run a $19.99 ad knowing that to the FCC's point about set top box and everything else, the customer's ARPU is going to be $80 or $90 or $110. So we've tried to take a more long-term approach, and be more upfront about that. And it appeals to certain kinds of customers, and those kind of customers tend to have a little higher credit score, tend to be a better long-term customer for us and we're probably not as competitive on the low-end at this point or the person who is looking for a great deal. But that person is going to be looking for a great deal every year and they call you and they want credits, and you go through a vicious cycle that is not as impressive. And then on the Sling side, it's in some way a science project because there's a lot of complexity technically to it but we certainly believe it's a high-growth business and a wave of the future for class of customers we can't get today. For example, Sling TV works great in the city. Most people have high-speed broadband there. So in a New York City, in Manhattan, we can't sell a satellite dish there, but we can sell Sling TV there. So it brings up an incremental, truly incremental base for us and for our content providers. And I think we have three main challenges there, and then I'll turn it over to Roger, but we have – our biggest challenge is probably technical, how to make it work. Live TV is more difficult than – because you can't buffer it and do all kinds of things you can do to video-on-demand or ask video-on-demand or things like Netflix do, so it's a much, much tougher. There is all kinds of restrictions like blackouts and for sports and local channels and things that just don't exist in the VOD world. So it's very complex. We're learning a lot. We're on a lot of different devices. Those devices get replaced by new devices and you still got to maintain support for the old devices. So we've learned a lot and we probably think we'd do different, knowing what we know today, but those lessons reminds very much of when we started DISH Network, it took us a couple years to really go to sleep at night knowing that we were more than a science project. And the second thing is that we still would like to have two or three other content providers to participate in what we're doing at Sling and we think that obviously we can add incremental customers to them, and incremental income to them and incremental advertising and a new model that's going to be around for 20 or 30 years. And so we're working closely to try to find two or three people who also want to participate, and then we're probably be done for a while there. And then we need our user interface, we started with 20 channels, now we have like 80 channels or something. So the user interface needs to be upgraded to help people search and get all the channels. 20 channels is pretty easy but when you start looking for 80, or 90 or 200 channels, you need something a little bit better. So, maybe turn it over to Roger in terms of where he's trying to go with it.
Roger Lynch - CEO, Sling TV: Yeah. I think, we launched Sling just a year ago and I think about back prior to – just prior to our launch, I'd say, we had questions about, would there be demand for this product because this is something new to market and that was certainly a risk. And then, second big question is where would that demand come from? Would come from existing Pay-TV subscribers? Or would it come from people who don't have Pay-TV? I think those two questions have been answered pretty well for us. First, there is demand for the product. We're definitely seeing that. And secondly, the vast majority of the subscribers we're getting are not – they are not currently Pay-TV subscribers. Either they've never had Pay-TV because they are 25 years old, and it never crossed their mind to – traditional Pay-TV, or they cut the cord sometime in the last one, two, three, four, five years ago. So, there are some who come from traditional Pay-TV, but that's small, relatively small. So in our analysis this is quite good for the overall ecosystem, which was our hypothesis from the beginning is that we could grow subscribers overall for DISH Network and that OTT as a category would grow subscribers overall for the Pay-TV ecosystem. And so far, I'd say, the evidence we're seeing so far is that those that is happening.
Brett Joseph Feldman - Goldman Sachs & Co.: Great. And just, I'm curious, is there a timeline you have in your head for when you might start breaking out the financial impacts for Sling?
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: Yeah, this is Charlie. I don't think we have a timeline, but obviously that's something and as we move forward and get it to the point where strategically where we think it needs to be that's certainly something we will consider.
Brett Joseph Feldman - Goldman Sachs & Co.: All right. Thanks for taking the questions.
Operator: Your next question comes from the line of Tom Eagan with Telsey Advisory Group. Your line is open.
Thomas William Eagan - Telsey Advisory Group LLC: Great. Thank you very much. There's been a lot of high-level disputes in network bundling recently and a while ago the U.S. Court of Appeals preserved the bulk of the program carriage rules. I guess I'm wondering Charlie, what's next? What's Washington's appetite to revise those rules? And then I have follow-up? Thanks.
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: I'm not sure I totally under the question, something about bundling?
R. Stanton Dodge - Secretary, Executive VP & General Counsel: Yeah, let say – Tom, this is Stanton. In the immediate, what we're looking at today, the FCC is rule-making going on about – we're taking a look at the retransmission consent rules.
Thomas William Eagan - Telsey Advisory Group LLC: Yeah.
R. Stanton Dodge - Secretary, Executive VP & General Counsel: ...so that's the biggest thing that is going on today. And, of course, we've been participating in that. I think there are some meaningful changes that can be made to level the playing field from where it is today.
Roger Lynch - CEO, Sling TV: By the way, that certainly is impacting; the retransmission rules are so one-sided to the broadcaster, particularly the network broadcaster that that's probably impacting customers, consumers way, way, way more than set top box rules. No matter what, in linear TV you're still going to have a set top box, right regardless of who is making it and somebody is not making it for free. And when you add a DVR to it and you add encryption to it and you pay for intellectual property, it's going to cost money no matter what. But re-trans fees have gone up 300% in the last few years and continue to go up, and there's no competition to that and the rules guarantee the broadcaster a local monopoly. So it's out of balance from that. And that particular rule-making will have much, much more impact on consumers in my opinion than even set-top box rule even if they were to make the set-top box rules very aggressive, so.
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: And of course, the Senate Commerce Committee in the last Congress introduced the Local Choice Act, which we wholeheartedly supported and we're optimistic and hope that they'll reintroduce that which effectively allows broadcasters to set their rate, allows consumers to decide whether they want to take particular broadcast stations à la carte, which we think is great because it ensures that the stations that are important to consumers will remain up for those consumers. And today, we live in a world where broadcasters have got billions of dollars of free spectrum, some of the most valuable spectrum, under the cloak that they would serve the public interest, and in fact what they do is they hold consumers hostage when it comes time to renew contracts, and some consumers lose their programming. And we just think that's ludicrous. We put forth many proposals to keep the programming up while we negotiate and remain somewhat optimistic that someday that will actually come to fruition to benefit consumers.
Thomas William Eagan - Telsey Advisory Group LLC: The FCC has proven really unwilling to get involved here. Do you think that that has changed?
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: It's hard to say. I mean, they have this rule-making going today, and we're hopeful that they will make meaningful changes. You know, that the heat has certainly been turned up on this over the last four to five years. The number of blackouts increase year-over-year, and last year, we had a particular situation where the FCC got immediately involved and actually seemed to really care. So hope springs eternal.
Roger Lynch - CEO, Sling TV: No, I think is – we'd like them to go further, but this has clearly been the best – if this is clearly been the best FCC and certainly in terms of looking at imbalances in the system.
Thomas William Eagan - Telsey Advisory Group LLC: Right. And then separately, DISH's fourth quarter subscriber-related costs per sub, per month were up about $5 year-over-year, fourth quarter over fourth quarter, hurting gross margin this quarter. How does that inform your approach to any upcoming renewals in carriage agreements? Thanks.
Steven E. Swain - Chief Financial Officer & Senior Vice President: The subscriber-related costs last quarter, so fourth quarter 2014 benefited from a one-time reduction in subscriber and programming-related costs, so that was really the anomaly in 2014. We're on track, on a trend, if you will, the rest of the quarters. And so I would just follow that trend through 2016.
Thomas William Eagan - Telsey Advisory Group LLC: But in terms of how it impacts, how you approach any upcoming renewals I was thinking? Thanks.
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: Well, I mean – this is Charlie. It's pretty simple. We have actual consumer data for millions of our customers; real data, not Nielsen data, which we look at as well, but we know what the value of particular content is to our consumers, right? And as a generalization, viewership of most cable and network channels has been declining for the last two or three years with the advent of Netflix, and their numbers are going up, right? And then there's been, in general, more advertising on the linear channels that further frustrate consumers, and then they watch less because of the advertising. So that's a trend that we're not sure is going to change dramatically. And as a result, when programmers come in for a renewal, they typically just say we have a budget, we want a double-digit rate increase, and we look at it and say we should get a double rate decline based on your viewership. And so that leads to intense negotiations where 95 times out of 100 you ultimately come to a conclusion with the content owner. But we don't always because sometimes you're just so far off between what the content person thinks his content is worth and what our viewers think it's worth that we – that to protect our viewers, we have to take it down.
Thomas William Eagan - Telsey Advisory Group LLC: Yeah.
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: I think we're spending a lot more time thinking that, at this point, that this isn't – so we kind of – there's lots of creativity you can have. But if we take something down, we're probably not going to end up negotiating as we have in the past for the most part, because we've already made the economic decision that it's not worth it and so you just move on and get replacement programming. So life has changed a little bit, particularly for some programmers, their content is available on other outlets. So if the majority of our customers today have Netflix then they probably have a lot of kids programming today they're paying for. And if they're paying for that kid programming, why should they pay for it again on us? And so they scratch their head when we go to them and say we have a price increase this year because our content cost went up. So if there is a science show and it's on Hulu or Amazon, they scratch their head. It is like 100 million people have Amazon potentially. So that makes negotiations difficult. But I think the way – really the escalating content fees, probably the balance has shifted now to some of the distribution people having more leverage than they did in the past because consumers have other outlets to get that content.
Thomas William Eagan - Telsey Advisory Group LLC: All right. Okay, great. Thank you.
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: But having said that, where we have relationships with content providers, particularly people supported us for 20 or 30 years, it would take a really, really material disagreement for us to not renew with a current content provider that has any kind of meaningful viewership. I mean, it would have to be a really big disagreement.
Thomas William Eagan - Telsey Advisory Group LLC: Okay. Thank you.
Operator: Your next question comes from the line of Marci Ryvicker with Wells Fargo. Please go ahead.
Marci L. Ryvicker - Wells Fargo Securities LLC: Thanks. I have a question for Charlie and then one for Steve, I guess. Charlie, looking at where your stock is today, the market seems to be assigning a per megahertz top value of well below $1. So why not buy back your own stock instead of participating in the auction or just why not buy back your stock in general? And then for Steve, is there any way to help us think about cash taxes and CapEx for 2016 and beyond?
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: I'll let Steve take the second part. We certainly look at what – we're cognizant of our stock price, we're cognizant of a strategy that can have, as you mentioned, that could have some logic to it, depending on the point in time where you might be highly confident that the valuation is such that the best return you could do is to buy your stock back. We look at those things versus what you could do with the cash alternatively. So we continue to look at those things. And, again, I think our driving force in terms of management what we recommend to our board is what the long-term implications of doing those things are and then we balance the trade-offs of those things. So what you propose is logical. But there'd be a bunch of other data you'd have to look at to say whether that's the most logical, that's the highest priority for us. You want to take the second part, Steve?
Steven E. Swain - Chief Financial Officer & Senior Vice President: Yeah, sure. Marci, so cash taxes and CapEx, so I'll give you a couple forward-looking items in my preamble. So one thing that we do do is amortize our licenses and the AWS-3 licenses. So that is a cash tax help going forward. And I also mentioned that cash interest paid, whether it's expensed or capitalized, is deductible. So there are a couple of helps as well as we take advantage of any accelerated depreciation or bonus depreciation in the tax department, and that's a variance from book. So there are a few helps going forward and that's really all I'm going to talk about on taxes. CapEx, to the extent you do a variance between DBS activations and Sling activations, the DBS activations, as Charlie mentioned, SAC has been relatively constant on the DBS side over the past several periods, so just continue that trend if you see that going forward as well.
Marci L. Ryvicker - Wells Fargo Securities LLC: I just have a follow-up for Charlie based on the answer to my question. You seem to be very confident you still have a lot of options, and I think the market feels like either those options don't exist or they're much further out than what a lot of investors can handle. So is there any color, anything you can say today to give us confidence that there are still as many options in a reasonable timeframe as there have always been?
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: I mean, I think this hasn't changed since we went public in 1995 or 1996. As management, we are looking at things long term. So we're not looking at quarter-to-quarter so a shareholder can make money quarter-to-quarter. I mean, we're looking for long-term value for shareholders. We're making money over a long period of time. We're very fortunate in that regard because we don't feel any pressure for short-term gains, right? And so we can make long-term decision. As a result of that, there are more opportunities for us than a typical public company because we can take a little bit longer-term approach to it. And sometimes we're penalized in the short-term stock price for that, but that's a small price to pay if you're doing the right thing for your shareholders long term. And I'm selfish because I'm a long-term shareholder. But we do the right – we try to do the right thing, so having – the other thing is I think we try to look at where the world is going to be three to five years from now, not where it is today. And as a result of that, I think we have a myriad of options to grow value in the company. And some of that clearly is going to be driven by what we do with spectrum and how we utilize that to grow the value of the company, and we've talked about all the things in the past that there are options there. And I think our value will be driven by how well we execute on OTT and how well we run a mature to declining business in linear TV and so that's how we look at it. And when you look at that, we feel pretty confident where we are and as well there's pressure on it when you're a $40 stock price and when you're an $80 stock price. So I think we can just go out there and do the right thing long term.
Marci L. Ryvicker - Wells Fargo Securities LLC: Thank you.
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: And, obviously, the next six months in the wireless industry nobody's going to talk to anybody. I mean, there's very little that will happen, if anything, until people see what happens in the next auction. And then the deck will be – the table will be reset from where it is today and then some people will be pretty happy where they end up and some people won't be so happy, and somebody will have a strategy to go north and somebody else will say, just based on that, the counterstrategy is to go northeast or south or whatever, but we're well-positioned within that industry. And it's a little bigger – I hate to digress, but it's a little bit bigger than the wireless industry what everybody is thinking about it. What you really got to think about it's really the connectivity industry, which is all the information is in the cloud and you got to connect to it. If you're going to be a living, breathing, productive human being or productive machine or productive industry or whatever, you're going to have to be connected. And the most efficient way, in my opinion, that you can connect, the most efficient way is through wireless spectrum. And it'll be all kinds of different frequencies, but you're going to have to connect. And the sweet spot of that, the most versatile spectrum in the toolbox is in that 2-gig range where we have the vast majority of our spectrum. So if people don't want to connect, I'd probably stay up at night. If you believe that people aren't going to connect and use more data and want more information and want to know when they're going to have a heart attack before they have a heart attack or know how to save money on their electricity or whatever it's going to be, if you believe they're not going to want to do that then I don't – go buy some oil because they're always going to use that for a long time. So, I mean, I guess, it's the way we look at it, but I think we look at it a little bit broader than perhaps people are writing about today. A lot of people focus on the here and now. There's an old story about Pelé. He was a good soccer player because he wasn't playing the ball, he's playing where it was going and that's I think what you have to do. I think that's the CEO and the board's job is to make sure that this company is where the ball is going, and I like where we're positioned based on that. But not for the next three months.
Marci L. Ryvicker - Wells Fargo Securities LLC: Thank you.
Operator: Your next question comes from the line of Mike McCormack with Jefferies. Your line is open.
Mike L. McCormack - Jefferies LLC: Hey. Thanks, guys. Charlie, you might want to stay away from the comparison to oil. It's not looking so good these days.
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: Yeah, but they're still using it. And if oil – it's funny, if oil is not looking good, then how is solar energy and wind and all those things that weren't – they weren't economical when oil was at $80, now they're looking at $30. So there's always this – the new shiny car is always going to be better, right?
Mike L. McCormack - Jefferies LLC: That's true.
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: But when you really run the math and if you're an economist and you're running stuff on – and then you're going to come back to mid-band spectrum is pretty damn valuable. The new shiny car at 60 GHz is very interesting, but it's not going to do what you do at the mid-band frequency.
Mike L. McCormack - Jefferies LLC: Right.
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: Again, solar is very interesting, but without the government subsidizing it – even with the government subsidizing it, it's probably not economical at $30 a barrel, but it's not economical until you subsidize it, so. So, I guess, that's my oil story.
Mike L. McCormack - Jefferies LLC: I appreciate that. Just a couple of things from my perspective.
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: By the way, they are producing more oil. They're not making more spectrum, so...
Mike L. McCormack - Jefferies LLC: That's true.
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: If you had a choice, I wouldn't flip a coin.
Mike L. McCormack - Jefferies LLC: So, I guess, just thinking of the first thing I was interested in is your thoughts on the overall wireless industry structure, whether or not you think there is, in fact, a room for a sort of a fifth facilities-based provider? And then two more that might border on something you might not be able to answer, but just updated thoughts on your build-out requirements. We've got one approaching, I guess, in a couple of years. I know that it's not a hard-and-fast, you can push it back if you want to. But how do we sort of think about how you think about whether or not those initial requirements are a hurdle for you? And then just lastly with respect to the AWS-4 downlink decision, I think June 20 is your deadline. Just trying to get a sense if there's a benefit for you to wait till you get closer to that deadline, or are you just sort of biding your time?
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: Yeah, I mean, there's no hurry to make a – there's no reason to make a decision on downlink until we have to, right? Not that I think the world is going to change or our decision will ultimately change, but you never know.
Mike L. McCormack - Jefferies LLC: Right.
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: So what was the other questions? Oh, build-out requirements, yeah, it's a bit complicated, and a lot of analysts get it wrong, but it's easy. Some of our spectrum has to be built out by – there's a deadline of 2020, some is 2022, some is 2026 or 2028. Some spectrum has – they still got to be cleared, and then it will have a date once it gets cleared. We don't see that today as anything that keeps us up at night. The nice thing about the spectrum build-out is I think that's interesting is we're starting to spend a lot more time looking at 5G because you're probably – realistically when you look at our spectrum being used, it's most likely to be used in a 5G format by however it gets used and however it gets built out, and so those timelines kind of match up. You'd probably not think about building out an old technology. You wouldn't build out black-and-white TVs today. You wouldn't build black-and-white TVs today because everything's color. You wouldn't build standard definition TVs if everything is HD. So, in fact, you'd probably build 4K TVs today just because that's where it's going. So that's kind of the build-out schedule. And what was the other question?
Mike L. McCormack - Jefferies LLC: We put out a note last week, Charlie, just sort of identifying some of those requirements, and I think we've got a pretty good understanding of the dates on it. I just didn't know if those interim dates meant anything or whether that's – you're just sort of...
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: Well, the interim dates mean something only if you meet them. If you meet an interim date, then you have a longer time to – then it would be 2021, 2023. You get an extra year or two if you meet the interim dates. But because of the transition to MPEG-5 where you're seeing a lot of people talking about it now and testing it, and you'll see it at the 2018 Olympics, I mean, 5G, it's not likely that we would build out interim spectrum in 4G.
Mike L. McCormack - Jefferies LLC: That makes sense.
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: Or that anybody else would with us. I mean, that's probably – I mean, it's not impossible, and maybe there would be some testing there, but that would seem like a waste of money if a year or two later you could do 5G. Because 5G is going to be 10 times, 100 times, 1,000 times more efficient. It's going to allow for the Internet of Things in a way that 4G doesn't. So 4G was better that 3G, 3G was better than 2G, and 5G is a big leap. So you always want to – if you're going to build them, build it with the latest and greatest, particularly when you get those kind of efficiencies. And then on the fifth carrier, I don't personally see a fifth operator in the United States unless it was something like a neutral hosting where the existing carriers could use it. So, in other words, it wasn't competitive with the – the competitive balance is pretty good. The government's kind of got it right. It's pretty competitive. It's pretty intense with four. Maybe the government always would like more, but there's a lot of CapEx involved, so four seems to be, at least for the foreseeable future, seems to be about where the sweet spot is. A lot of countries, it's three. Some countries, it's seven or eight, so it varies. But I don't personally think you could start a fifth network unless you are somebody – at least DISH couldn't. I mean, somebody of scale could, right? These companies that have money overseas that they could buy AT&T and Verizon tomorrow. So the world could change.
Mike L. McCormack - Jefferies LLC: Right.
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: Operator, we have time for one more from the analyst community.
Operator: Thank you, ladies and gentlemen. We will now take our final question from the analyst community. We'll begin the media portion of this call following the answer to this final analyst question. Your final question comes from the line of Bryan Kraft with Deutsche Bank. Your line is open.
Bryan Kraft - Deutsche Bank Securities, Inc.: Hi. Good afternoon. I had two questions. First, I think you had $1.5 billion maturity due on February 2, I was just wondering how you handled that? If you repaid it with cash on hand and if there is any plan to refinance it? And then separately, on Sling TV, just wanted to ask you how you're thinking at this point about the potential addition of the broadcast networks to the service and if you could – I don't know – maybe talk about how those discussions with the broadcasters have gone? And as you come up with the Viacom renewal, is getting their content on Sling a big focus for you in the negotiations? Thank you.
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: In terms of debt repayment, we sent a wire for the $1.5 billion.
Steven E. Swain - Chief Financial Officer & Senior Vice President: We did repay it with cash.
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: We repaid it with cash and it was on hand.
Steven E. Swain - Chief Financial Officer & Senior Vice President: U.S. dollars.
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: So we tried to use Bitcoins, but they wanted cash. Just because of the auction, don't want to talk about financing, but obviously we have cash on hand to run our business today. The market liquidity has tightened up a fair amount in the last six months and certainly we were pretty conservative. I think we were five times levered, we're more like four times levered now. That just feels like a more comfortable spot to be based on our existing business. For Sling, on the broadcast networks, that's – certainly, I think there's an opportunity for both Sling and the broadcast networks, but it's a bit complicated because there's O&O networks and then there's the affiliate and they are still fighting through their rights between the O&Os and the affiliates. So whether we would need to go to the affiliate and have an individual deal or whether the network itself could speak for the affiliates is unclear to us at this point and I think affiliates and O&Os all have different opinions about that. So they're working through that, although we do have a couple of networks from an O&O perspective that we do have the rights to today. So, I think that that's one of the things that's a challenge for OTT providers and Sling and could be a benefit to the networks and to the consumer, right, because they'll watch networks but they're expensive, so that's the other piece of it. And what was the other piece?
R. Stanton Dodge - Secretary, Executive VP & General Counsel: Viacom renewal.
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: Viacom renewal, well, look, I think any – we're taking a long-term view, so anytime we talk with the content provider, we want to know what their thoughts are on OTT and whether this is the way to – because we think OTT is additive to the content provider, we would scratch our head if the content provider – I understood three years ago where people may be skeptical looking at the business, but I think we've shown how it can work today to the benefit of the content provider. And I think that I scratch my head if content provider didn't want to play, but it has different values depending on whether it's live TV or VoD or SVOD or whether it's available on different platforms already. So, it gets a little tricky because some content providers sell some of their programming to one of the OTT providers like Hulu or Amazon or Netflix and then we want to pay for it again, right. If you're watching that particular show, consumer shouldn't pay twice for it. And so some of the programming is chopped up a lot and makes it really difficult. And, again, some people will make great decisions in content and how they handle OTT and they'll be more successful and grow and some people will make mistakes.
Bryan Kraft - Deutsche Bank Securities, Inc.: Thanks, Charlie.
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: And we're just not...
Bryan Kraft - Deutsche Bank Securities, Inc.: Sorry.
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: We're not the guys that get to make that decision.
Bryan Kraft - Deutsche Bank Securities, Inc.: If I could just ask a follow-up on the broadcast side, I know that the affiliate network relationships can be complicated. Do you think it's just that they haven't sort of hashed out who has what rights or yet at this point or do you think that some of the networks have a different view strategically on whether they want to be on the OTT services? So, are some more motivated than others to kind of work with the affiliates and help to get them on board?
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: It's hard to know. I mean, CBS sells theirs direct today. Through their All Access, so they probably maybe are less inclined. Other people I think would like to. I mean, the O&Os and the affiliate agreements are complicated, not primarily because of OTT, but because of reverse re-trans and their own renewals – they own renewals, right, with the affiliations because the network has options on where to go and in a particular marketplace if they don't get an agreement. So those are very complicated. We're willing to work with either party, either the affiliate or the owned and operated. We will work with either or both. Is that fair, Roger? I don't know.
Roger Lynch - CEO, Sling TV: Yeah. We look at a number of things in working with these content partners or potential content partners. As Charlie mentioned, one of the things is, is that content already available? Obviously, we look at it, is that content relevant for the target market we're going after, which is not the entire market? And the final thing is, is the programmer going to give us enough flexibility that we could actually package it in our products in a way that we'd want to do it. And so it's a little bit different for us than a traditional Pay-TV operator where they're trying to appeal to the broad segment of the market. And there's a lot of content partners that have decided that they want to go direct, which is fine. That means from our standpoint it's a little less necessary for us to have them in the bundle because the devices that we're on, they're likely already on and so our customers can go get that content if they want or they've made decisions to distribute their content through other SVOD services, which again are on the same devices that we're on. So, again, makes it a little less necessary for us to bundle that content into our basic package.
Bryan Kraft - Deutsche Bank Securities, Inc.: Thank you.
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: Okay. Operator, you want to move to the media?
Operator: Yes, of course. We'll now take questions from the media. Our first media question comes from the line of Scott Moritz with Bloomberg. Your line is open.
Scott Moritz - Bloomberg News: Hey, guys. Thanks. Charlie, given your history with Sprint, I'm wondering if there's – if you see there's some scenario where you might be interested in purchasing their bond, say, if they were backed by some of their licenses?
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: Yeah. I don't think I'd comment on that one. Yeah. I don't think we can comment on that. I'm looking at the lawyers.
Scott Moritz - Bloomberg News: Because it – I mentioned licenses?
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: It's just that the anti-collusion is, we know what the rules are in anti-collusion, but we don't always know that people are going to go by the rules and not change them and that was a rule yesterday, but the new rule is today and we just better to be safe.
Scott Moritz - Bloomberg News: Got you. Maybe just shift to another question kind of following up on that last analyst question. But, is there a timeframe when you see the logjam for local broadcast might be worked out and you guys could bring that to Sling?
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: I would say – I think Sling is a potentially very powerful platform for all kinds of content owners, including broadcasters and that they can grow their businesses by taking advantage of a new technology and a new generation of people who aren't watching their content today. And the second part of it is to do advertising in a model that's not obtrusive to or as obtrusive to the consumer, in a way that the ad can be interactive and more meaningful to consumer and more powerful for them. You can't have your, I don't think executives at broadcast networks have their head in the sand, they're seeing a lot of the advertising dollars go to Facebook and Google that used to go to them, and that trend is continuing. And there's a way for them to get a piece of that action, and a big piece of that action, and Sling has some solutions to that. So, I think, the progressive executives are very interested in terms of what Roger and his team are doing.
Scott Moritz - Bloomberg News: Thanks.
Operator: Your next question comes from the line of Shalini Ramachandran with The Wall Street Journal. Your line is open.
Shalini Ramachandran - The Wall Street Journal: Quick question for you following up on the Viacom thing. Viacom had said on its call that it has a short-term extension with you guys and I just wanted to ask whether you view that as a positive sign that you will hash out a deal with them to continue carrying their channels or is it still being worked out?
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: I think it's a positive because they're not down. So I think it's positive, because I think that the approach that we really look at is, the problem you have when you take something down, you take something down and then you put it back up a month later or a week later whatever it is, you've already lost the customers that see that as valuable. So you really almost penalize yourself twice. So I think we've looked at the things strategically to say, for the most part on what I would term on non-essential programming, we'll have to make a decision one way or the other. And we will do, I mean, my direction to people here is look for every – I don't want to look why we're not going to do a deal, and I want to look like we're going to do a deal, look for every reason to go do a deal. And the benefit of the doubt goes to our programming partner because they've helped us build our business. So that's what we're doing and Viacom is one of those long-term really long-term partners for us, and they helped us build our business, so it would take a lot for us to not move forward. On the other hand, people have to be realistic that the viewership of their channel relates to the value of the channel and the availability of their content at other places to our consumers, they shouldn't be forced to pay for it twice. And by the way, we will other ways – we will make money as well to monetize your product. So, when you add all those things together, you put creative people in a room, you probably figured out. But...
Shalini Ramachandran - The Wall Street Journal: Got you. Thanks. And one more thing. I wanted to ask on, you guys had mentioned for a while that you would have some more interactive or targeted advertising on Sling, and there has been some time where some of the ESPN ad spots were dark and I wanted to ask whether that's going to change, and when we'll see that change?
Roger Lynch - CEO, Sling TV: Yeah, hi, Shalini. It's Roger. We are doing some dynamic ad insertion on some of the networks today, not currently as you pointed out on ESPN. And Charlie mentioned earlier on the call the live OTT service is a bit of a science project in that there is a lot of new technology, a lot of integration with third parties that has to go really, really well. And this is an example of the dynamic ad insertion where we have a number of third parties that all systems have to interact properly. So we've been doing a lot of work to make sure that we do dynamic ad insertion. It is – it provides a benefit both to our programmers but also for our subscribers. It doesn't cause service issues on it and so I think we're close to having those issues solved and you'll see it come back on, but we're still in the development phase of finalizing some technologies and leads to be confident that we can redeploy it without causing service problems.
Shalini Ramachandran - The Wall Street Journal: Got it. Thank you.
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: But, I agree with you, Shalini. It's very frustrating to see the ESPN commercial break thing. I'd rather see something moving. Part of ESPN is we have blackouts and things like that for ESPN that we don't have for other networks and that just causes – adds complexity.
Shalini Ramachandran - The Wall Street Journal: Got you. Thank you.
Operator: You next question comes from the line of Malathi Nayak with Reuters. Please go ahead.
Malathi Nayak - Reuters: Yeah, hi. Thanks for taking my question. I have one for Charlie and one for Roger. I start with Roger. Roger, some of the other OTT players are experimenting with sponsored content and I was wondering if you were exploring that in terms of Sling TV and bringing sponsored content on to the platform? And for Charlie, I was wondering if you had any advice to Sprint and SoftBank right now as they try to revive that business?
Roger Lynch - CEO, Sling TV: I'll start. I'll take your first one about sponsored content. Where we have experimented is running what we call traditional Pay-TV content, channels like AMC and ESPN and Food Network with nontraditional content that's available on Sling like; content from bigger studios. But really our focus in all of that is figuring out what our consumers and our target demographic really want to watch. It's not so much on can we get someone to sponsor content in a way that we could make money from the content. That's not our focus. Our focus is really on providing our service to the customers really want and content that they want to watch. So I think you'll see us do more experimentation with nontraditional TV content but, again, with a singular focus on finding stuff that really works for our consumers and what they want to watch.
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: Yeah. And I don't have any advice for Sprint and SoftBank. Other than, I think they have a good team in place now and it's very focused. And when you get a good team when you're focused, good things can happen. But it's a tougher environment because of liquidity out there, but we get our own. My job is to worry about DISH. Okay. Operator, are there any other media calls in queue?
Operator: Yes. Thank you. Your final question from the media community comes from the line of Mike Farrell with Multichannel News. Your line is open.
Mike Farrell - Multichannel News: Hi, guys. Thanks for taking the question. I had two really quick ones. John Skipper I guess said yesterday that ESPN was talking with a lot of other OTT providers about getting their channels on their services, and the last Disney call, Bob Iger, spent a lot of time praising Sling and the relationship there. I'm just wondering if ESPN getting on a broader swath of OTT providers? So does that put you guys at a disadvantage? Or, I mean, how does that affect Sling?
Roger Lynch - CEO, Sling TV: This is Roger. Obviously, we've always expected to have competition in OTT. I'm a little surprised it's taken this long for the utility heads (1:05:10) to come in....
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: Well, bought Sony's into that.
Roger Lynch - CEO, Sling TV: Sony is into that. Yeah. It's true. But my expectation really with OTT is it's a new segment as long as other – as long as we're performing well, right? We need to perform well. We need to provide value to our, consumers. But other entrants coming in, we'll expand the market even though we lose market share, right, right now we have probably fairly mature market share and if we'll lose market share, the market will grow faster and therefore we may grow faster. So that's sort of if you look at new entrants and new markets that have developed that historically what happens is starts off slow development, you get an S-curve adoption, others come in, they grow the market faster and then at some point you have shakeout between the larger providers. So, we certainly expect that competition. We certainly expect that at some point ESPN will launch with other providers.
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: Yeah, I think the interesting dynamic will be the OTT players that come in that are outside the – they don't have material costs and infrastructure, right? So even a Sony, we don't a material cost and infrastructure, they're going to have different motivations about content. Amazon today makes no secret of the fact that they sell or trying to sell Amazon Prime and they use content as a way to sell shipping services and product, right? For content guys that's a little scary because your product can get devalued because somebody wants to sell something else. So if somebody wants to sell hardware, they may devalue your, if they have no infrastructure, than it devalues everybody whose invested in infrastructure, which is a slippery slope for a content provider to go. And so I think that's the part that's most interesting to me to watch will be, it's not only when and if somebody gets in, but who it is. And are they, do they have infrastructure, or is there motivation to monetize something other than content?
Mike Farrell - Multichannel News: Great.
R. Stanton Dodge - Secretary, Executive VP & General Counsel: All right. Thanks, guys. Thanks, everybody.
Charles William Ergen - Co-founder, Chairman and Chief Executive Officer: Thank you, operator.
Operator: Ladies and gentlemen, that concludes today's conference call. You may now disconnect.